Operator: Greetings, and welcome to the Joby Aviation First Quarter Fiscal Year 2025 Financial Results Conference Call and Webcast. At this time, all participants are in a listen-only mode. [Operator Instructions] A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It’s now my pleasure to introduce your host, Teresa Thuruthiyil, Head of Investor Relations. Teresa, please go ahead.
Teresa J. Thuruthiyil: Thank you. Good afternoon and evening, everyone. Thank you for joining us for Joby Aviation’s first quarter 2025 financial results conference call. My name is Teresa Thuruthiyil, and I’m Joby’s Head of Investor Relations. During the call today, we will have remarks from JoeBen Bevirt, Founder and Chief Executive Officer; and Paul Sciarra, Executive Chairman. Please note that our discussion today will include statements regarding future events and financial performance as well as statements of belief, expectation, and intent. These forward-looking statements are based on management’s current expectations and involve risks and uncertainties that could cause actual results to differ materially from those expressed or implied. For a more detailed discussion of these risks and uncertainties, please refer to our filings with the SEC and the Safe Harbor disclaimer contained in today’s Shareholder Letter. The forward-looking statements included in this call are made only as of the date of this call, and the company does not assume any obligation to update or revise them. Also during the call, we’ll refer both to GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in the Q1 2025 Shareholder Letter, which you can find on our Investor Relations website along with the replay of this call. And with all of that said, I’ll now turn the call over to JoeBen.
JoeBen Bevirt: Thank you, Teresa, and thank you everyone for joining us today as we discuss our first quarter 2025 results. It’s only been a short 10 weeks since we last spoke, but in that time, the entire team at Joby has continued to deliver with incredible momentum, posting another quarter of record progress on certification, flying through transition with a pilot-on-board for the first time, announcing a partnership with Virgin Atlantic to bring our service to the UK and powering on yet another aircraft from our production line. All of these achievements speak to Joby’s leadership in our sector and keep us on-track to deliver on the two core goals I set out in our last call, to start flight testing in Dubai in the middle of this year and to begin TIA flights with the FAA within 12 months. During our last call, I talked about the record progress we’d seen on the fourth stage of the certification process. And today, I’m pleased to say that despite it being a shorter quarter, we actually beat last quarter’s record, accelerating forward by a full 12 percentage points on the FAA side and moving the Joby side up to 62% complete. This is critically important progress because each plan we sign off with the FAA is a step towards unlocking TIA flights. A signed off test plan allows us to move forward with building a test article and then testing it, a necessary step before beginning those flights. Also during our last call, I noted that we hit our production target of delivering parts equivalent to one aircraft per month. At the time, I said that this would give us the parts and the aircraft to complete unprecedented levels of component and subcomponent tests alongside an increasing cadence of flights, and our team really took that to heart. This last quarter was our busiest yet for flight test, with five aircraft and two full flight test crews performing flights in both Marina and at Edwards Air Force Base, often simultaneously with as many as eight flights per day. I want to stress that certifying an aircraft, particularly a new design, requires you to build and fly aircraft and the more the better. It’s been great to see so much activity on these teams and we believe it puts us in an industry-leading position to achieve type certification. A lot of the testing we completed at Edwards was supporting one of Joby’s most important achievements to-date, flying aircraft through transition with a pilot-on-board controlling the aircraft. The seamless transition between vertical and horizontal flight has long been considered one of the most challenging technological feats in aerospace, but as our chief test pilot, Buddy put it, the aircraft flew exactly as we expected with excellent handling qualities and low pilot workload. Since Buddy made the first transition to wingborne flight, two other Joby pilots have done the same and importantly, pilot-on-board transition flight has now become a routine part of our flight testing and we’re the first eVTOL company to be able to say that. Moving from one historic transition flight to routine pilot-on-board transitions was an almost overnight process for Joby, but it was built on years of methodical testing and planning. We had already flown hundreds and hundreds of transitions without a pilot-on-board and we’d completed thousands of tests both on the ground, in our integrated test lab and in the air, all of which made the move to piloted transition so smooth. In order to support our move to inhabited transition flight, we completed a round of testing at Edwards to prove out the redundancy that’s designed into our aircraft. From the very beginning, we’ve been intentional about building layers of redundancy and fault tolerance into our design. And, in this campaign, we demonstrated just how valuable those design choices are in ensuring the safety and reliability of our aircraft. In separate tests, we disabled one of the two tilt mechanisms on each propeller, one of the four battery packs, and two of the six propulsion stations. And in each case, we were able to maintain safe flight and execute a vertical landing with no changes to the procedures that our pilots use to fly the aircraft. I’d encourage you to go and watch the footage of this testing that we published online earlier this week because it’s an incredible validation of the long-term planning and vision behind our aircraft and its safety systems. It’s also, again, to our knowledge, a first in the industry. As Zach Reeder, the Joby test pilot who led the campaign, put it, success is super boring. And if you watch it, you’ll see that those flights look just like any other. The success of this testing along with the inhabited transition that followed are a testament to the professionalism and dedication of our team. And they are a major unlock. First, for the flight testing we plan to complete in Dubai in the middle of this year and second, for beginning TA flights with the FAA. And as we prepare to send that first aircraft to Dubai, the next aircraft to roll off our pilot production line will soon join our fleet having already been powered on for the first time. With each aircraft that rolls off our pilot production line, and this is the fifth, we learn more about building and scaling our manufacturing. We learn how to do things smarter, faster, cheaper and more efficiently. These lessons will be valuable to us as we start to fit out our new expanded facility in Marina, which is nearing completion and is set to be handed over to us next month. This building will not only double our manufacturing footprint, it will also house our certified full motion flight simulator that’s set to arrive before the end of the year. From my own personal experience and from Toyota’s experience as the world’s largest auto manufacturer, there’s no magic switch that lets you achieve mass manufacturing overnight. You have to do the hard miles and that means building, testing and flying aircraft over-and-over again. In theory, it’s an appealing idea to jump straight to certifiable aircraft and straight to higher manufacturing scale, but it is never successful in practice. And so, as we grow in Marina and in Ohio, I’m incredibly grateful that we invested in the stepwise scaling of our manufacturing years ago so that we have the same head start in manufacturing as we do in certification. I’m confident that all this progress, the tangible, countable progress on certification, the demonstrated flight hours and transition flights, and rolling yet another aircraft off our production line puts Joby firmly in a leadership position in our sector. And with the U.S. government leaning in on both the state and federal level, we are securing America’s leadership role in the adoption of this important new technology. Last week I was in Washington, D.C. and had the opportunity to meet with a number of key leaders who are working to ensure the successful implementation of advanced air mobility. We had important conversations with the Secretary of Transportation, Sean Duffy, acting FAA Administrator Chris Rocheleau, FAA Head of Certification Caitlin Locke, FAA Head of Flight Standards Robert Ruiz, a number of key members of the House and Senate as well as leadership within the White House including Director Michael Kratsios from the Office of Science, Technology and Policy. In every case, we heard strong support for ensuring there is a clear path to certification and commercial operations for Joby, and that this path can be leveraged as we begin service in key countries around the world. As we look to those opportunities around the world, one of the most exciting we see is in the UK and I’d like to take a moment to highlight the announcement we made this quarter with Virgin Atlantic. We couldn’t have hoped for a better partner to work with in the UK. Virgin is famed for its customer service and commitment to excellence. And of course, they’re already part of the family being closely affiliated with Delta Airlines. I’ve spent a great deal of time with their CEO, Shai, and together we’re incredibly excited about our plans to deliver air taxi services in the UK starting with the Virgin hubs at London Heathrow in Manchester. Like Delta, Uber, Toyota and ANA, Virgin is another example of Joby’s ability to attract world-class partners who share our vision for the future and are excited to lead the way on the development of this important new market. Paul, I’ll hand it over to you to take us through the numbers in a moment. But before I do, I’m pleased to confirm that Rodrigo Brumana will be joining us as our Chief Financial Officer later this month. Rodrigo is not only a seasoned Silicon Valley CFO with experience working in global finance operations at HP, Amazon, and eBay, but he’s also an aviation enthusiast who has a degree in engineering and a background optimizing complex manufacturing at Fairchild Semiconductor and Palm. Most recently, he served as CFO at Poshmark. Rodrigo stood out to us as a candidate because of his strong track record of driving growth, his deep experience in capital markets, and his creativity in developing thoughtful strategies for the businesses he’s led. I’m confident his pragmatic and tactical approach will serve Joby well as we scale our manufacturing and prepare for commercial operations. Paul, over to you.
Paul Sciarra: Thanks, JoeBen. Before diving into the financials for the quarter, I’d like to pick up on JB’s comments about our recently announced partnership with Virgin Atlantic. Virgin is a terrific brand and I’m confident we’ll be able to create an amazing customer experience together, as we bring Joby’s air taxi service to the UK. But that partnership is just one of several ways in which we anticipate bringing our aircraft to market. As we look ahead, we see three distinct paths to generating revenue, each of which provides a different strategic opportunity for the business. First, we have a direct sales model for defense applications and for businesses who want to own and run their own aircraft. This path enables us to optimize for near-term cash, including pre-payments that may precede certification. Second, we have markets where we do not plan to be involved in operating the air taxi service directly, and instead, we may work with partners to deliver that service. We see this model applying primarily outside of the U.S. for example, in Japan, where we’ve partnered already with ANA and Toyota. Efforts like this may involve joint ventures or include sales or leases to a foreign subsidiary. Working with these partners allows us to leverage local expertise and relationships, and it presents opportunities for growth while limiting our capital commitments and derisking our go-to-market. Third, we have our direct consumer path where we own and operate the air taxi service ourselves. This option is more capital intensive, but we believe it has the potential to deliver higher margins over time and a stronger, more defensible market position. And here, we are working with strategic partners to generate demand and build out necessary takeoff and landing locations in key markets, working with industry leaders such as Delta, Uber, and Virgin. Taken together, what we have are three clear paths to market that we believe will give us the flexibility to optimize for different goals. We can choose nearer-term cash flow, we can choose longer-term margin, we can choose to grow market share, and we can mix these as we see fit. This model allows us flexibility and it also allows us to react appropriately if one path becomes faster or slower than another. We’ve made great progress already across all three routes to-date. We’ve secured meaningful, mature demand and infrastructure partnerships with companies who have already invested hundreds of millions of dollars into Joby. We’ve benefited from years of revenue and financial support for R&D from the Department of Defense and we’re the only company to have delivered an eVTOL aircraft to an Air Force base which we’ve now done twice over. And, we have excellent visibility into future opportunities with these government customers on increasingly autonomous and longer range hybrid aircraft, both areas where Joby has delivered real technology demonstrations already. But one path we haven’t spoken so much about is the direct sales outside of the defense room and I’m pleased to say we’re having all the right conversations there as well. For us, it’s about quality over quantity for these pre-orders. You want credible customers and pre-orders that are as firm as possible. We look forward to sharing news on this and each of these routes to market over the quarters ahead. In the meantime, I think it’s important to stress that none of these business models none of them mean anything at all if you don’t have three things. First, a certified aircraft. Second, a certified simulator to train pilots to fly those aircraft. And third, the manufacturing know-how and capacity to build them at increasing scale. JB has already talked about the exceptional progress we’re making on each of these fronts, and I hope that progress speaks for itself. Looking now to the Q1 financial results, we ended the first quarter of 2025 with cash and short-term investments totaling $813 million which does not include the expected Toyota investment. During the first quarter, we finalized the agreements necessary to close the first half of that $500 million commitment from Toyota, and we anticipate those funds will be reflected in our Q2 cash balance. In parallel, we’ve already been working with Toyota on our strategic manufacturing alliance with the mutual goal of finalizing it and receiving the second tranche of the Toyota investment later this year. As a reminder, there are no certification or operational milestones that Joby needs to achieve to access either the first or second tranches of this investment. Our Q1 net loss of $82 million reflects a loss from operations of about $163 million partially offset by interest and other income of $81 million. The first quarter net loss decreased by $164 million compared to Q4 of 2024 reflecting a favorable revaluation of our warrants and earn-out shares, partly offset by the higher net loss from operations. Adjusted EBITDA, a non-GAAP metric that we reconciled to net income in our Shareholder Letter, was a loss of $127 million in the first quarter. This was about $8 million higher than in the fourth quarter of 2024, reflecting higher operating expenses. Our adjusted EBITDA loss was $17 million higher than in the same period last year, reflecting the growth in our organization, expenses to support manufacturing and certification, and higher production volumes as we ramp up manufacturing. During the first quarter of 2025, we spent about $15 million on property and equipment, which includes investments in the expansion of manufacturing facilities in California and Ohio, test equipment, and the costs of our full-motion flight simulator for pilot training. We continue to maintain a disciplined approach as we supplement our certification work with measured go-to-market initiatives and lay the groundwork for commercial service next year. You can expect us to continue to align our investments with the opportunities in the business. Accordingly, we continue to expect our 2025 use of cash, cash equivalents, and short-term investments to be between $500 million and $540 million. This concludes our prepared remarks. Operator, please begin the Q&A portion of the call.
Operator: Certainly. We’ll now be conducting a question-and-answer session. [Operator Instructions] Our first question today is coming from Austin Moeller from Canaccord. Your line is now live.
Austin Moeller: Hi, good afternoon. Just my first question here. You mentioned five aircraft have rolled off the pilot production line. What is the timing of the full-scale aircraft with all fully conforming parts? You had previously mentioned that you’re assembling it and plan to have it ready this year at some point.
JoeBen Bevirt: Hey Austin, it’s great to talk to you. Thanks for your question. Yes, so these just to be clear, all of our aircraft that we’ve been building for the past eight years now have been full-scale aircraft, and all had the same, very similar operating specifications, including these five that have come off the preproduction line in which we’ve now done all of our failure testing on and taken through transition. With regard to your question about the FAA conforming aircraft, and I should be clear that those five aircraft, are company conforming aircraft, we then layer on, additional FAA inspections, during the build process for the FAA conforming aircraft. And, we have multiple of those that are moving through the production process in our California manufacturing facilities currently. And yes, we remain on-track to have those aircraft in the air later this year in preparation for our TIA flight testing. So, very, very pleased with the progress that we’ve made and the investments we’ve made in manufacturing and as well as the progress both on the Joby side and the FAA side on Stage 4, which is a really critical unlock for the TIA work.
Austin Moeller: Okay. And, with the company opening up the expanded manufacturing site in Marina, what does the expected timeline look like now for Dayton and initial production there? I know you’re already in the process of building parts and components there by mid-year.
JoeBen Bevirt: Yes, we’ve got great momentum on both sites. Fantastic to be doubling the footprint in Marina and really grateful for the team delivering that ahead of schedule and that facility is just going to be phenomenal as we ramp capacity here in California. And then the facility in Ohio, is also coming along really, really well. This is a facility we purchased and the team has done retrofits on it and we’re now installing the tooling and equipment and really excited to see parts starting to come out of that facility in the months to come.
Austin Moeller: Great. Thanks for all the updates on that.
Operator: Thank you. Next question today is coming from Savi Syth from Raymond James. Your line is now live.
Unidentified Analyst: Yes, this is Carter on for Savi. Congrats on achieving the full flight envelope with the pilot-on-board. I was wondering if you could elaborate some more on what your flight test goals are for this year, including your expectations around flight testing in Dubai, as it relates to timing and what the goals are in terms of either volume or proof points?
JoeBen Bevirt: Yes. Thank you so much, Carter, and thank you for highlighting, Dubai. So, as we’ve recently announced, we’ve had an incredible quarter of progress on flight test. We’ve done both the failure injection testing at Edwards, which is a phenomenal unlock to all the rest of the work that we’re planning to do this year and next. And then, we moved to pilot-on-board transition flights, and then now that’s become routine and really, really pleased with the way, all of our company conforming aircraft are flying. That that fleet is just doing great. And now we’re preparing to pack one of those aircraft, and send it to Dubai, where we’ll have it for the hot weather months and to be able to really put it through its paces in some of the most grueling conditions from a temperatures perspective. And then, proceeding on to doing all of the qualification and preparation for the service launch. So, really, really pleased with the progress there. Back here at home, we are running many of the flight test operations that, in preparation for our on our company conforming aircraft in preparation for doing those same flights with the FAA in the those as TIA flights with the FAA. And, one other thing I should highlight is the full motion flight simulator, which we mentioned that we’re planning to get later this year. And that’s critical as we lay the foundation for pilot training, and again, in preparation for both the fight test as well as preparing for commercial operations. So, a lot of pieces in motion and really pleased with all the way they’re all coming together.
Unidentified Analyst: Super helpful. Thanks. And then just as my follow-up, I was wondering if you guys could speak to the benefits of having FAA pilots in your simulators sooner versus towards the end of the certification process? Just a little color there would be great.
JoeBen Bevirt: Yes. So, we have the FAA pilots come out and fly many of the test points that they’ll be flying during TIA, back last quarter. And then, they also got to watch our pilots fly those test points remotely. We’re now flying those test points in seat. And then, we’ll have the FAA pilots fly the rest of those test points in the simulator and then, fly those test points in the aircraft themselves. And so, really, really pleased with the lean-in from the FAA flight test team and excited to continue, that progress over the quarters to come.
Unidentified Analyst: Great. Thanks, guys.
Operator: Thank you. Next question today is coming from Mahima Kakani from J.P. Morgan. Your line is now live.
Mahima Kakani: Hi, good afternoon. This is Mahima on for Bill. Maybe following up on Carter’s question, can you touch on what needs to happen from a testing perspective for you to feel comfortable, transitioning from flying with a pilot-on-board to flying with a pilot and then passengers onboard in the UAE? Are there specific, for example, failure scenarios that you have to run or a certain number of flight hours that you have to achieve before that happens?
JoeBen Bevirt: So, the critical piece for us on testing is really around the component and system level testing of, all of our FAA conforming test articles. And so, the critical unlock to this is all of the test plans that the FAA has been approving allow us to then go and build the FAA conforming test articles and then to run the tests and then submit the test plan or the test reports. And then, once those test reports have been approved, that gives us credit on Stage 5 and unlocks the TIA flight testing. So, that’s on the U.S. side of things. In terms of beginning to fly passengers, that’s work that we’re doing alongside the GCAA. And, we’re going to need to ensure that both Joby and the GCAA is very comfortable with the rigor of and the testing that’s gone into all of the component systems and the aircraft as a whole.
Mahima Kakani: Okay. Thank you for that. I appreciate that color. And congrats on the Virgin Atlantic partnership that you announced. Given that these aircrafts intend to fly in the UK and the CIA has aligned its safety standards with EASA, can you touch on how you’ll address the difference in the safety standards? And then maybe just how you’re going to approach certification in one of these markets? Thank you.
JoeBen Bevirt: Yes. Thank you. We also had the UKCAA out, and a good contingent there. We’ve had very close and constructive work with them over a number of years. And they are going to be aligning their certification standards on this with the FAA and following along with the work that we’re doing here. So, we feel really good about that path and we do see the UK as a phenomenal market and appreciative of their alignment with all the groundwork that’s been put in place with the FAA.
Mahima Kakani: Okay. Thank you. I’ll hop back in the queue.
Operator: Thank you. [Operator Instructions]. Our next question is coming from David Zazula from Barclays. Your line is now live.
David Zazula: Hey, afternoon. Thanks for taking my question. Paul or JoeBen, you’d mentioned balancing near term cash flow versus long term margin versus market share. I’m wondering how you are thinking about balancing those priorities and what factors might influence changing the balance over time?
Paul Sciarra: Thanks a lot, David, for the question. This is Paul. I mean, I think the reason for highlighting it, is to make sure that everyone sort of understands that we do have these sort of three legs of the stool when we think about our sort of broader go-to-market strategy. What’s important is that they obviously have different economic characteristics, but we want to make sure that we preserve the flexibility to allocate aircraft flexibly between those different ones. We are not it’s probably premature to say, one is sort of a priority versus the other, but we do want to make sure that there’s really credible opportunities in each so that when the time comes, we have a choice to prioritize near-term cash versus, longer term market expansion versus higher margin. And I think that flexibility is going to serve us well so that we can adapt to whatever market conditions are there at the time.
David Zazula: And then kind of aligned with that, I think you mentioned direct sales non-DoD. Was that specifically in the U.S.? And can you give any color as to kind of what that might look like in the U.S?
Paul Sciarra: Thanks, David. Again, Paul. So, it’s actually not specifically in the U.S. Obviously, there is interest from lots of operators in many places around the world. But what I think what is important is that we choose the right initial customers and two, that we try to get the sort of most real contracts with those customers. Standing up any customer, even if it’s a direct sale, involves training them on maintenance, doing things like pilot training in conjunction with their team. So, we want to make sure that the opportunity is real that we have the right structure around that in the short and longer term. And as we’ve gotten closer and closer to certification, as we’re beginning to scale up manufacturing, that really allows us to have the right conversations with that customer set.
David Zazula: Thanks very much. Appreciate it.
Operator: Thank you. Next question today is coming from Andres Sheppard from Cantor Fitzgerald. Your line is now live.
Andres Sheppard: Hey, everyone. Good afternoon. Congratulations on another good quarter and particularly on the full transition flight with a pilot-on-board, very exciting indeed. A bit of an odd question, but I wanted to maybe touch on tariffs. Since Joby is maybe more fairly vertically integrated than the rest, should we assume perhaps that the impact from tariffs will be maybe less material than others? Or I guess how are you thinking about the tariffs and the potential implications of that? Thank you.
Paul Sciarra: Thanks a lot, Andres. And appreciate your call out on the piloted transition. I can say that it was obviously something that we were excited to share, but it was also really exciting for the team. Everyone was super excited to see that flight testing progress from the first to a sort of routine effort, here around the office. Regarding your question on tariffs, I mean, I think your instinct is right. This is a moment where the vertical integration that Joby has really been building over the last decade shows its value. Although we have a large number of suppliers, those suppliers are generally at the component level as opposed to the bigger assembly or subsystem level. And therefore, we’ve got the ability to sort of flex that supplier set, far more flexibly than if you’re reliant on tier one suppliers for big complicated parts in the aircraft. That’s a place where it’s far more difficult for any aviation company, big or small, to really adapt flexibly, and we don’t really have that constraint. When we think about the, impact of the tariffs, and it’s probably still too early to know exactly what that trajectory will look like, we certainly don’t see any in the short-term. And as I said, I think we’re positioned really well given how tightly coupled our design and production is to respond to those sorts of changes. What I will say sort of at the tail end is that it’s really exciting to see public sentiment catch up to the way in which we’ve been building Joby as a company for a very long time. We care about making sure that this next age of next age of aviation is both designed and built here in the U.S. That’s really informed our thinking from day one and it’s great to see the spotlight that’s now placed on ensuring that American manufacturing stays important, because that’s really the way we’ve been building the business.
Andres Sheppard: Got it. That’s super helpful, Paul. I appreciate all that color. Maybe just as a quick follow-up, I want to maybe come back to commercialization. And with all the recent, what should we call them, headwinds, I guess, from the FAA, maybe most recently the Newark Airport incident, are you still kind of envisioning a scenario where you’ll likely commercialize prior to that type FAA certification? And maybe just walk us through how do you -- your vision for commercialization either in the Middle East on other markets? Thank you.
JoeBen Bevirt: Thank you, Andres. So yes, we remain on track and we’re excited to be, making progress, as I mentioned before, in Dubai and very excited to be taking the aircraft over there in the next couple of months. And as I mentioned before, doing the hot weather testing and preparing for the service launch likely early next year.
Andres Sheppard: Great. Thanks, JoeBen. Thanks everyone. Congrats again. I’ll pass it on.
Operator: Thank you. Next question today is coming from Edison Yu from Deutsche Bank. Your line is now live.
Edison Yu: Hi, good afternoon. Thanks for taking the questions and congrats. First one is on some of the framework that Paul outlined. Paul, you mentioned several paths to market, commercial DoD. How do you kind of dimension those in terms of units or revenue for the next, call it, three or four years? One area in particular, you know, you mentioned that you have two aircraft now at the Air Force Base. If that truly scales up, what kind of potential you could that become from an economics point of view?
Paul Sciarra: Thanks a lot for the question, Edison. I think that it’s probably not the moment to sort of describe in detail kind of what we think the sort of breakout is going to be across those buckets. But I think what’s more important is that we are sort of filling up each of those buckets with credible quality opportunities now. And one of the things that allows us to do that, I think, with greater and greater clarity is the progress that we’re making on both certification and production, which obviously gives us a sense both of timing and of the cost side of the equation. In terms of the broader DoD side of things, look, we feel really good about the progress that we’ve made with AFWERX and the DoD customers that we’ve worked with to-date. That delivery of aircraft was important. The revenue that we generated was important. But even more important was the opportunity to begin to operate outside of Joby facilities. We got a chance to train pilots that are not Joby pilots. We got an opportunity to install infrastructure. We had an opportunity to maintain aircraft outside of our facility. We had an opportunity to do government directed flight testing. And all of those are really the building blocks for any operation, whether with a government customer or non-government customers on the commercial side of things. As I think I mentioned in the prepared remarks as well, we certainly see the trajectory of some of those DoD opportunities looking a little bit different but in ways that we’ve already sort of prepared ourselves. We know that areas like autonomy are going to be increasingly important, and we know that longer range hybrid aircraft are going to be important. We made the Xwing acquisition that had already done some important autonomy work. We’ve layered that onto the team. And then in turn, we’ve already demonstrated that the very same aircraft with a hybrid power source can deliver longer range flights, with our 550 mile flight just last summer. So, we think we’re really well positioned to continue to address those government customers based on the work that we’ve already done to-date.
Edison Yu: Appreciate the color. A follow-up, probably a more mundane question topic. It’s really about given the industry is quite nascent and Joby is obviously a pioneer. There’s a lot of terms out right now about piloted testing and I think even in your release you said, there’s pilot on board, there’s inhabited. I think some other EV filmmakers have said there’s just piloted. Are all three of those the same thing, or are there nuances to those three characterizations?
JoeBen Bevirt: No. No nuances. Those are all the same. So, apologize for any confusion there.
Paul Sciarra: Yes. And this is Paul, Edison just adding. I mean, we’ve been very excited to share some of that flight testing, including a video that we just released today that basically shows the entirety of a piloted, full transition flight, including all the audio, the pilot working the switches. You should definitely check it out.
Edison Yu: Thank you.
Operator: Thank you. [Operator Instructions]. Our next question today is coming from Kristine Liwag from Morgan Stanley. Your line is now live.
Kristine Liwag: Hey, good afternoon, everyone. By the way, first service into Dubai in early 2026 seems just around the corner. So, I was wondering, could we get a few more details on what that first commercial service could potentially look like? How many aircraft are we talking about in the region? Are you owning and operating it? Or is the government of Dubai owning it? And also, when you start thinking about the routes and the RASM and the CASM of it. Can you provide more color on what that could look like? And could you see a subsidy also from Dubai if they want to get these operations first? Any sort of color on what that looks like would be really helpful.
JoeBen Bevirt: Yes. I’ll take the first part of that and then, hand it to Paul, on the back half. So, yes, we are very excited about the opportunity there and we do expect it’s going to start small. It’s going to start with a few aircraft, but we see phenomenal potential. We will be launching with just a few vertiports at the beginning. And as that network of vertiports scales, the opportunity grows exponentially. And so that’s what we see as being incredibly valuable. Of course, this is being supported by the RTA in Dubai and from the Dubai government at the highest levels. And so we’re very grateful for the opportunity and the face that they’ve put in us for this. And we are looking to alongside, along with their support, scale this as much as we’re able to. Paul, would you like to add any anything additional?
Paul Sciarra: Yes. I mean, I think the work right now, Kristine, on route planning is happening as we speak. But as you’ve noticed, even with some of the announcements just this week, there’s a lot of activity across the Emirates. So, we’re evaluating lots of different sort of potential routes, and also figuring out what is the right way to scale those routes most effectively. That’s work that we are doing both on the ground ourselves and in coordination with the RTA and the broader GCAA. I want to make sure that we get our aircraft over there, begin the hot weather testing that JB was talking about, make sure that the work on the vertiports, that JB was mentioning, which has already really begun, continues. And then I think we’ll be in a position to share a sort of clearer plan about how that scales over time.
Kristine Liwag: That’s really helpful. And I guess back here in the U.S., we’ve had some pretty high profile air traffic control issues in the region. I mean, we also had the accident that happened at the Arabian National Airport. So, with kind of the shortage you have on traditional air traffic control, how’s been your conversation with the FAA regarding managing I mean, essentially, you’re increasing the volume of aircraft that could be flying in an already potentially busy area. So how has that evolved, especially with the most recent development? And what are the steps that need to happen to really have a full scale, high volume, usage of Joby aircraft?
Paul Sciarra: Yeah. Thank you, Kristine. So, as I mentioned, a whole bunch of great meetings and conversations in DC last week. And I think that, what you’re going to see is the nation, continue to leaning in on this next generation of aviation and significant investments in improving air traffic control and improving the capacity of our skies. The amount of the number of aircraft that, the sky can handle is dramatically larger than what is currently flying. But we need the right systems and tools in place to augment the incredible work that our air traffic controllers do today.
Kristine Liwag: Great. Thank you. Super helpful.
Operator: Thank you. Our final question today is coming from Amit Dayal from H.C. Wainwright. Your line is now live.
Amit Dayal: Thank you. Good afternoon everyone. Thank you for taking my questions. Once you get the U.S. regulatory certification approvals, now how quickly can other markets open up for you?
Paul Sciarra: Thanks for the question, Amit. This is Paul. We certainly didn’t highlight it on this call, but we have in prior. We’ve been actively reaching out to the regulatory authorities of a number of other countries, including Australia, JCAV out of Japan, the CAA from the UK, obviously GCAA from across the Emirates, the regulatory authorities out in Saudi, to all give them an introduction to Joby and to eVTOL aircraft. Many of those folks have come down to visit our facilities, to see flight tests, and we are sharing with them our progress on FAA certification so that we can, the FAA has bilateral treaties with most of these authorities that allow for near synchronous, certification by the FAA and that authority. But we did want to make sure that we started those conversations early. And I think those are going to pay dividends so that we have a relatively seamless transition between FAA certification and certification with other regions.
Amit Dayal: Thank you for that. Just an adjacent question to that then. Do these trade negotiations create some challenges on that front for you?
Paul Sciarra: Thanks, Amit. This is Paul. At this point, there’s been no impact, from trade policy on the certification by lapse that we’ve seen, with other countries. I wouldn’t expect that to be the case.
JoeBen Bevirt: I might even just add that, we actually see substantial opportunities and as countries look for more U.S. products that they can buy, we see significant upside potential there.
Amit Dayal: Okay. Just one last one, guys. Now that we are at the stage where vertiports are being built, can you maybe give us a sense of what is the average cost of building a dedicated vertiport if you have any numbers to help investors think through that phase of the execution?
Paul Sciarra: Yes. So, there’s quite a continuum, and you can start from something that’s quite humble. That’s a small dedicated swath of pavement up to something that is designed to handle, hundreds or thousands of passengers a day. And so there’s a whole continuum there, but I would say hundreds of thousands of dollars to millions of dollars depending upon the scale.
Amit Dayal: Got it. That’s all I have, guys. Appreciate all the color. Thank you so much.
Operator: Thank you. We’ve reached the end of our question-and-answer session. And ladies and gentlemen, that does conclude today’s teleconference webcast. You may disconnect your lines at this time and have a wonderful.